Operator: Hello, and welcome to the Stillfront Audiocast with teleconference Q2 2021. Throughout the call, all participants will be in listen-only mode and afterwards there will be a question-and-answer session. Just to remind you, this conference call is being recorded. Today, I'm pleased to present CEO, Jörgen Larsson. Please begin your meeting.
Jörgen Larsson: Thank you very much and good morning, everyone. It will be me presenting as well as Andreas Uddman, our CFO. I will start, will give you on slide two an update with Stillfront at a glance. We are now 20 gaming studios that are working very much collaborative and creating operational synergies. We'll come back to that later. We also have built a portfolio that is growing and evolving. That is typically characterized with loyal users and long lifecycle games. We are approximately over 1200 employees in our different offices, which you can see at red dots on the lower right corner of the slide number two. We have a record level of users playing our games, they are now 67 million monthly unique and 13 million daily uniques. And our main markets are US, German, the MENA region, UK and Canada. And you can see the distribution of our revenues also on the lower right corner. So, in North America slightly up to 54%, Europe 29%, Asia slightly up to 11%, which are our main areas. Turning to slide number three, a few words about our game highlights in the second quarter. We added four titles to our active portfolio, so which is now then 56 games. We have now more than 30 games in under development and in soft launch in different stages, which is the highest number ever. That is giving us confidence that we will have the opportunities to grow not only later this year, but also in several years to come. We acquired our first asset during the quarter Crush Them All, an idle RPG game, which is operated by Imperia Online and also supported by Goodgame in marketing. We also had a successful early launch on Albion Online, the mobile version that reached in a very short period 2 million downloads and we are very pleased with that, of course. And also that resulted in an increased daily active user base of more than 60%, so very good start for Albion Online mobile. However, we have a good software performance on Super Free titles as a direct result of lower download numbers and which in turn is a result of decrease in UA spend. Successful expansion of Big Farm: Mobile Harvest to Microsoft Store, an interesting and promising thing. No volume so far, but we think that could be interesting in Q3, Q4, and onwards. And finally, I'd like to comment on BitLife with which has had the full time high here in May. We are optimistic about what that could bring, as we continue our localization and expansion of that games, and also adding new updates on content. Going to next slide, slide number four. We recorded net revenues that were 16% higher in Q2 this year, amounting to SEK1382 million. Also, we have an organic growth of minus 17%, which is obviously the direct consequence of that we have in Q2 last year the exceptional intake of new user. So it's a challenging comparison. However, it's important to note that we have had a very - we're very pleased with the ARPDAU, the average revenue per daily active user developments so it's offsetting some of the user base decline and asset [ph] is organically plus 13%. It shows that the COVID-19 towards and onwards has been of high quality and that our teams are really good at the live ops that is so important for our business. Also very important is to note that since we have this important - this exceptional comparison period, which is make making things look a bit special this year, as we have been a growth company for more than 10 years, it's important or could facilitate to look at the 24 months comparison instead and then we have, on a performance basis, excluding Kixeye, which is a separate topic, but otherwise we have been growing in like our addressable market. So, that shows that we have acquired steady development over 24 months, but, of course, with a very high bump in Q2 last year. Also, important in this progress is that we had a UAC deployed representing 25% in relation to net revenues with very good profitability. So way, way shorter return times than the 180 days that were targets. We've did target to deploy some 4% to 5% more than that, so that was not possible due to the IDFA challenges but, nevertheless, it's important to note that we did deploy the second highest number ever, mainly it was Super Free that we couldn't mark it to the level that we hoped for. And since they moved a bit faster than other products, that is basically what is part of the development of our top line, obviously. We'll come back to that later in the call. Just another comment on the IDFA effects. We think that it's really paid off that we prepared ourselves for almost a year or actually more than a year ago, we started the preparations. We have been benefiting from that. We have been benefiting from the fact that we have a very wide market universe and a strong market reach, many channels, many territories where we market. So that is what explains that we were able to deploy on the second highest level ever, even though we have had the IDF challenges. But of course, two things we did not expect out of all this unknown territory that the IDFA change come with, and that was we did expect the update of the phones from the consumers to happen earlier just as also Apple commented on. So, that was a bit slower than we expected. And also that some of our partners, marketing partners and intermediaries saw some unexpected challenges due to this, which of course had an impact for us, especially that it has an unexpected impact on games and studios that normally don't work we targeting at all, such a Super Free and others. So, that of course has an impact. But nevertheless, it's important to note that we have our second highest UA ever and high level [indiscernible] in relation to our net revenues. Last comment on this, looking at the graphs, you can see that we have all time high in recorded revenues, both looking at the individual quarter as well as the last 12 months, despite the fact that we also have a 8% negative FX effect in the quarter. Turning to slide five, looking at our profitability. We have a very high profitability in Q2 of 35% EBIT margin. And that is obviously been driven by the fact that we didn't - we were not able to deploy more than 25%, even though that is a high number. We targeted to deploy some 4% to 5% more. So that has, of course, a direct correlation to the high profitability and high profit margins. We also can comment - and it is improve important that we can conclude that we have 19% in advertising revenues, which was a target that we set up at our Capital Markets Day in November 2019, that we should be able to be up at high teens in advertising revenues. And that's strategically important, whereas this is a perfect hedge towards volatility in market prices, and that is up from 5% last year. And we can also see that it's important to note, as we have explained and elaborated on earlier, that we have a different product mix compared to one year ago. And that is typically that should have a higher UA spend in relation to net revenues than we had one or two years ago. We think still that 28% is a representative number, as we spoke about all that in the beginning of the year. We can also see that we have an all-time high in profits in absolute number, both for the quarter as well as 12 months, so we recorded 477 million in profits only. Turning to slide number six, looking at our active portfolio. As mentioned, we added four titles. So, we're now up to 56 titles in our active portfolio. The advertising booking increased, as mentioned, to 19%, mainly driven by the fact that Super Free were included for the full quarter for the first time. Mobile bookings steady on a 77% portion of the total revenues, up slightly from last year, but very steady from Q1. And you can see that we have a significant increase in the number of users worldwide that play our games, both on a monthly basis as well on a daily basis. There are up to 67 million on a monthly basis, and the Dow numbers up to 13 million. So, we are pleased we are heading for the 100 million user base that we would like to have in the future. We can also conclude which is important that our ARPDAU, the monetization that we're able to do, is really strong. So, it's organically up by 13%. And, again, that is a product of the good work in our studios with live ops, and that the cohorts that we were able to acquire has been good quality. Turning to slide seven, looking at the strategy in product area. Total is representing 25% of our active portfolio bookings. We have now 13 games in the portfolio. The bookings are declining by 17%. And that is, of course, driven by the fact that we have a much lower UA than we had last quarter, but also that we have basically lower number of users basically than we have compared with Q2 last year. It's important to note that Conflict of Nations continues to be very strong for us. It's one of the most successful launches in September last year. War and Peace that was launched in Q4 '17 has continued to perform very well and strong organic growth year-over-year. It's a low number, but it's an important, as a last comment on the strategy area, that we are starting to see that ad bookings or ad revenues is actually starting to kick in. So, we have been able to expand in absolute numbers factor of threes, but it's still only 1%. But it's important because we didn't really expect one year ago that we won't be able to generate ad revenues in the strategy area. But as we see now that that is possible, we are optimistic about that that number can increase and that is, of course, in line with what our strategy is to increase ad revenues. Turning to slide eight; Simulation, RPG area and Action Area. We can see that this is now 30% of our active portfolio. We have 26 games with Crush Them All, Naval Action and This Land is My Land added to the portfolio during the quarter. Solid growth, it is 22% compared to last year from newly acquired titles explaining that or driving that. The share of mobile bookings decreased actually to 59% due to Albion Online, which is cross-platform product, have significant revenues on non-mobile areas. But as we mentioned earlier, we see that their mobile portion is promising launched in the quarter. Ad bookings were steady at 5%. You can also see that we have some fluctuations and some lowering in MAU especially and in DAU and that is mainly explained that we had significant pushes in Q1 for nine [ph] events in particular that we didn't have in Q2. Turning to next slide, which is the casual and mash-up product area, slide nine. Now that area is representing 45% of our bookings. We had a year-over-year growth of 30%, which is both explained by the acquired titles, obviously, since this is our latest adds in product area but also very strong organic growth from Candywriter. Also, we are happy to see that Moonfrog have had a very strong first couple of months in the group. We're already establishing several collaboration projects to ensure that we leverage the business platform that we have. So, that it's very pleasing to see. And as touched upon already, Super Free have a software development on top line, because they saw the challenges with spending as much as we plan on UA but the flip side of that is that they are earning more money than we expected and we earlier guided on. So DAU and MAU, as you can see, are, I will say, obviously is rapidly expanding, as we have added Moonfrog that has a significant, very high number of large user base, but they're monetizing on a lower level, but that is what we knew already. And with that, I would like to turn over to Andreas to look into some financial highlights. Please Andreas.
Andreas Uddman: Thank you, Jörgen. Good morning, everyone. Yes, turn to page 11, so the financial highlights of the quarter. We have a revenue growth of 16% and it's paired with a strong adjusted EBIT margin 35%. We did, on the cash flow perspective, generate a record level of cash flow from operations of 443 million. We continue to have a strong financial position with a cash balance of 850 million and an undrawn total credit facility amounted 2.6 billion. We took strives of improving our maturity profile by issuing our new bond a 1.5 billion of very attractive terms and we have our leverage of 1.56, which is around our leverage targets. So the quarter, even if we have tough comps, strong underlying financial performance, we diversified our financing platform and this creates flexibility for future growth. Turning then to page 12, their P&L, our income statement in more detail. As mentioned, revenue growth of 190 million, so 16%. This was driven by acquire growth, which drove 41% of the increase. That's offset down by a negative organic growth of 17 and FX movements, which creates a negative position of 8%. Acquired growth continues to drive diversified revenue generation. We've more games with both the Super Free and Moonfrog contributing to the P&L for the full quarter. And we also have Game Labs joining in May, one that was small and off material, it contributed. Ad revenues increased to turn of 61 million or 90% of bookings. This is a key dynamics in our portfolio. And as you can see that platform fees actually decreased with 29 million, so 9% year-over-year and that ensures that the gross profit in absolute terms increased by 220 million and high 26% and this is driven by more ad revenues coming in. So, we improved our gross profit margin by 6 percentage points year-over-year and that allows us to deploy on 130 million more, i.e. 60% more of UA in the quarter, so the second highest quarter that we ever had. And this is a key in terms of demand dynamics, we talked about this and the importance of this and you can now see it in the financial numbers coming through. In terms of our other expenses, they increased 25 million year-over-year, 53% increase so over to some seasonality in depth cost position, but mainly driven by acquisitions, that adds to the fixed costs. Our staff costs increased by 58 million or 35% to 222 million. But it's also important to note that the actual P&L impact of that net of the own word capitalized is 26 million or 32% increase. And then moving down on the P&L, so we have depreciation and amortization so that the increased by 26 million that is driven by more products being amortized for a full quarter but also some depreciation, which is mainly driven by IFRS 16 and facilities. So we increase our adjusted EBIT with 14 million, i.e. 3% versus last year and our margins were 4 percentage points below last year, but still at 35%. We had some - moving down then to our [indiscernible]. We were still very busy this quarter with two acquisitions, the main that impacted our costs. So the main cost is related to the Game Labs acquisition and that total was 13 million. We did change the list and they had a charge of 11 million. And we have some continued cost optimizations in Kixeye. This total costs was actually offset by other income as well, which was due to a purchase price adjustments which came after the measurement period, hence taken over the [indiscernible]. The PPA amortizations increased, as we've seen. I mean, that's driven by our acquisitions that we made, so it increased 74% to 69 million and that is the main driver that are on the adjusted EBIT. This is decreasing [indiscernible] quarter. And in terms of financial items, that 72 million charge for the full quarter, the underlying interest cost is 37 and then we have 26 million, which is sort of non-cash interest on our considerations that we've booked each quarter. And then we had a net effect of 9 million, which is a net effect of FX and small earnout revaluation in quarter. This gives us a result of the financial items of 217 million, and we have a reported tax expense over 68 and this is the equivalent of a tax rate of 31%. But excluding the impact of non-deductible transactional costs, they would have been 29%. And we ended the quarter with a net profit of 149 million. And with that I turn into page 13. So cash flow and balance sheet metrics. As I mentioned before, we had a record cash flow from operations of 443 million, even if we pay taxes of 55 million in the quarter and we had just a small positive effect of working capital. So it's a very strong underlying cash flow generation. We did just about a billion of which this was 670 million related to settling on the cash earnouts that we have outstanding. This is relating to the cash earnouts for 2020. So that has all been settled that we have no more cash earnouts going out this year. And we also acquired a Game Labs that's and that was 189 million. We did invest, continue to invest, so we invested 149 million in product development or 10.8% [ph] of revenues. And we also did the first tranche payments for the Game Labs - sorry, Crush them all acquisition, our first asset acquisition. We had small movements on our financing where we had approximately 150 million new debt taken out. And then also we got some payments for the warrants programs, which matured before a million. But as always cash flow is on LTM, extremely important to look at from that perspective, and here we continue to show that we can increase our cash flow from operations to almost 1.4 billion and this is an increase of 670 million versus the same measurement in last year Q2, that is 92% increase of cash flow from operations. We still continue to invest, so invested 530 million in the last 12 months in new products, new organic growth and that increase is an increase of 60%. But here is the key, the key sort of metrics is that we do increase our operating cash flow more than we increase our investment cash flow, even if we deployed 530 million in the last 12 months. So our free cash flow from - after product development increased with 490 million or 131% to 865. And this is obviously been key for us. This has been enabled us, together with our ability to have different sources of financing to do these acquisitions that we've done in the past period. So underlying strong - I would say, we have to sum up this a bit, underlying extremely good cash flows in quarter. Rest of the balance sheet, we are now at around our leverage ratio, and we are at 1.56 [ph] in the quarter, which was expected. And we did strengthen our maturity profile on our debt portfolio by issuing a new 1.5 billion bonds, which matures in 2025. And we use majority of that to reduce the RSF [ph] utilization. So we have a good debt structure, which has become more diversified in this quarter. But just to summarize, underlying, even if we have strong comps from last year, we continue to leverage growth, we continue to leverage strong cash flows and good margins. And with that, now I'll hand over to Jörgen.
Jörgen Larsson: Thank you, Andreas. We are turning to slide number 15. We decided to give a guidance for the third quarter because there is several factors that comes in both the state we will have in Q3 that will we will get rid of the tough comps after that we have the tough comps still being there in Q3, and also we have seasonality, as always, we've had in this firm in July and August. So we thought that it was good for - to be explicit about what we expect for the third quarter. And we expect from 1.3 billion in revenues plus/minus 25 million SEK and that is also providing us with an adjusted EBIT between 375 and 415 million SEK. And the reason why we expect in Q3, if you look at the seasonality, it is basically what we've had most years, if not all years in this company's history, so that is very normal. What usually is that we increase margins in Q3 compared to Q2. It's an important reason why we don't expected this year and that is because both we have a different structure, so [indiscernible] is not what we expected, we deployed less in Q2. But also that we expect and see early signs on opportunities to deploy more UA again. So we do guide on the fact that that tells you that we see that we can deploy more UA in Q3 than usually we are able to do and that is a very good and very important factor for us to be comfortable in that we see good opportunities to also comparing year-over-year have organic growth, as we go into Q4. I will come back to that in a second. So this net revenue guidance means that we have a growth into Q3 year-on-year between 24% and 29%. And finally, slide 16 we're continuing our growth journey. Our business is growing. It is tough to see the comparison, as we spoke about already. We knew that already last year. We spoke about that already from the beginning of the year, but our business are performing well, we think, and also the monetization is supporting that the growth opportunity and the growth journey we have. And also if you look at the 24 months period, which is then taking away that the bump of Q2 and partly Q3 last year, we have both from acquired studios in the last 24 months, a good - very, very good contribution. They grew by 27%, which shows that we can really leverage and create synergies on our Stillops platform but also that we --looking at 24 months, we do grow our business with approximately our addressable market, which is very important, of course. And we have a stronger platform than ever of new games organically coming out from our existing studios now up to 30, so it has been more than tripled in 18 months. And as Andreas pointed out, we have not nearby triple our expenses. So I think that it show that we are more efficient, we leverage what we have on the Stillops platform to both deliver new games, but also how we operate the existing games. We also have an exciting pipeline of M&A targets still there. There are still many companies that will be consolidated in this industry for the next coming years also in the short period. So we are executing our strategy, we are executing on our plans and it is in large following our plans, even though we have this comparison. So, we are in relative position and we are confident that we will return to organic growth also comparison year-over-year, as we have this comp thing out of the picture, and that means that the latter half of the year that whether it's October, November or something else, it's of course hard to say explicitly, but we have positioned ourselves to go back to organic growth and we are definitely in a record breaking year for Stillfront on its journey towards reaching our long-term targets for 2023. So with that, we are ready with the presentation and open up for questions, please.
Operator: [Operator Instructions] The first question comes from the line of Nick Dempsey from Barclays. Please go ahead. Your line is open.
Nick Dempsey: Yes, good morning, guys. I've got three questions, if that's okay. So the first one, just looking at the Q3 guidance, it is difficult to pull apart the revenue into organic progress and M&A on a on a year-on-year basis. But I'm not seeing, when I try and do that, a rate of organic decline that is sharply better than Q2. But then you're also pointing to opportunity to spend more on, if any [ph], which is reflected in your margin. So am I wrong on that organic calculation will be better? Or will it take time for more UAC to mean more revenue growth? Second question. On their call earlier this week, I think Zynga management did something similar about seeing signs of improvement in the marketing environment led them to put some more UA spend to work. You said something like that. But can you give us a bit more color on the improvement that you have been seeing? What is giving you more confidence to spend more on UA? And the third question, if the IDFA effect you've been pointing to has been most impactful, it's Super Free, that's seems to what you are saying and that's not contributing to your organic growth number, is the organic growth you're seeing in Q2 and Q3, the kind of level you always would have expected from the start of this year?
Jörgen Larsson: Thank you for the question. So starting with organic growth, which is into Q3, we don't give that number. We have a guidance for the full. We are not reporting Q3, we will come back for that. But I think that what we always have done and I think is definitely one of our key strengths is that we are not when we operate our business divide our studios, divide our products into the organic ones and the non-organic ones. That is actually one of the key reasons why we didn't report organic growth. Because when you operate again, and when you have the ability that we have developed over many years to rapidly and with agility, reallocate marketing to whatever products that returns the best constantly, we are moving marketing money so that we get the best bang for the buck so to speak. That means that it's not a way that we operate to say that we should, whatever it takes, increase that studio or that product, whether it's organic or not. So we'll come back obviously to report that but it's not how we stay at the business. When it comes to the UA momentum, so as you rightly comment or in your question like that we have lower margins in Q3 and as I may also touched upon during my presentation is that it's for the very fact that we believe that and see early signs that UA momentum is strengthening, but it's early signs, but we obviously believe that during the third quarter we will be able to deploy higher UA levels than we usually are able to do in Q3. And that is of course a key component in the fact that we are confident in that we will return into organic growth also comparisons year-on-year during Q4. So, yes, we see signs of improvement definitely. When it comes to IDFA effects on Super Free, yes, that was one of the two things that we didn't expect otherwise, most other things were according to what we expected. But Super Free not working with targeting, they shouldn't be affected very much or at all, more or less from IDFA changes, whereas that is primarily making it harder to target traffic. So that was not what we expected and of course, that no way that you would send them. But as we commented on being a Casual & Mash-up game, they move faster in terms of when you can't stand the UA that you hoped for or expected, the revenues dropped faster, if you don't start to compromise your profitability, which we did not. But on the other hand, when the UA get traction on the levels that you expect that you can deploy with the profitability levels that we expect, the uptake is much faster than it stretch as well. So, as we mentioned in the report, if we wouldn't have had store [ph] mates on board during Q3 last year that grew by 60%, 70% integration period, because they are very fast moving, if they would have had Super Free at that point, we would have seen even higher number. So, it's fast moving. So, that was the unexpected that they have an impact on IDSA but we are confident, as I mentioned, that that is a short-term problem and then they will be able to deploy it and they have the product, existing product, as well as the pipeline for taking opportunities during the [indiscernible] but then again, if it's in September, October, November, or December, it is of course hard to be bold about. I hope that answers your question.
Nick Dempsey: Thank you.
Operator: Thank you. Your next question comes from the line of Marlon Värnik from Pareto Securities. Please go ahead. Your line is open.
Marlon Värnik: Thank you. Good morning, guys. The question here on your revenue guidance for Sandbox and Super Free was 1.5 billion to 2 billion for 2021, given in December. Can you please give us an update here on how we should do the contribution for Q3 and Q4 for Sandbox and Super Free?
Jörgen Larsson: So, we have chosen not to pick them up at this point in time because as you know, we are launching for Sandbox the Albion Online mobile, which is we did expect and we obviously we are encouraged on the first 30 days or actually the 25 days, I think it is, in Q2 when they were out with 2 million downloads in a very short period. So we think they will contribute. And also we are confident that we will be able to deploy more UA on Super Free and that will have a quite swift impact on top line. But the profitability is higher - significantly higher on Super Free since we've been deployed that. So we think it's not - it's more important for the understanding of Stillfront to guide on the full Q3 for the full group rather than just taking out Super Free and Sandbox. We will come back to that as we are approaching the year end but at this point, I think it's more important to see that, especially as we are seeing opportunities coming now and into Q4 for both these entities.
Marlon Värnik: Alright, thank you. And another question, on the mobile advertising market environment, you expect there a short-term negative impact. How do you define short term and why do you think it is the short term, if you can give some more flavor here would be really helpful? Thanks.
Jörgen Larsson: You mean on the opportunities to market our products or the ad revenues we have or both?
Marlon Värnik: Both as a market to UA front.
Jörgen Larsson: Again, we have definitely leveraged the fact that we have a very strong market reach, many channels in many territories in a way that few other of our peers, I think, could match. And that is explanation why we are in the second highest level ever during the IDSA change. But I'm completely okay with that we had hoped to deploy maybe 4% more than we did, but we did reach 25% in relation to net revenues. The reason why we are quite confident is that the intermediaries that that had some problems that were then affecting Super Free in the casual game part of our portfolio, which we didn't expect will have that short term, we are confident that the intermediaries, they have very particular and specific challenges that they have had that they will not be there more than a few months. So that is, of course, because we are in dialogue with them. And also, we see, as I touched upon in the last question, in relation to the last question that we see on the - on other areas that we are picking up, it's early signs, but we do pick up and see that some other channels are also improving here, as we speak. So we think all-in-all we have a good basis on a good opportunity to market. That's why we have the guidance we have, both in Q3 but even more important at the end of Q3, so that will fuel our top line into Q4 and onwards and reach organic growth.
Marlon Värnik: Perfect. Thank you. That was helpful.
Operator: Thank you. The next question comes from the line of Oscar Erixon from Carnegie. Please go ahead. Your line is open.
Oscar Erixon: Thank you and good morning. [indiscernible] capital questions from me. Starting here with Facebook and [indiscernible]. Just to be very clear, is Facebook challenges and changes here the main reason for the more challenging topline outlook for Super Free Games? And was this surprise, complete surprise? And also follow up on that, what changed for these user coefficient intermediaries, as you see it into Q3 and Q4. Thank you.
Jörgen Larsson: Yes, so it has been a - that is correct, that intermediaries like Facebook has been the main explanation, but they are - we see improvements already but I'm not - we're not - we shouldn't make predictions about the Facebook, I think, it's not our role, but we see improvements already. So we are confident that that is short term. The fact that that started later since the conversion into iOS 14.5 and 14.6 and now 14.7, came later than both Apple and ourselves and Facebook expected that they didn't add to getting the adjustments in place faster. So basically, it's a bit delayed, and they are seeing some challenges, which becomes our challenges. But I would be - I mean, it's a very far-fetched idea to think that these problems will not be fixed shortly and we see signs of that already.
Oscar Erixon: Great, that's very helpful. I mean, when you were trying to track the CPMs on Facebook, it seems to have been quite stable, actually, despite the changes here and the poor conversion that has been reported. Is there any signs of lower CPMs in the Facebook channel or should this mainly relate to improve predictability and an improved algorithm for on Facebook side?
Jörgen Larsson: I think it's very much an algorithm thing. So the algorithm has been acting in a way which has been - that they have been unstable in the way that you get. It's not the structural increase of CPI for us, so actually the CPIs have been quite steady but the thing is that when you scale something through that channel, all of a sudden, it's not following the usual pattern because there's something in the algorithm that is not working as it done previously. So it's more that we don't know how much volume we didn't know in Q2 and that is still things to be ironed out. How much can we deploy, because when we get - when we increase the volumes, all of a sudden the CPI is where we're acting with our experience unexpected, so we have to slow down and they can push the throttle again, so just being a bit up and down there. But again, thanks to our market reach and our very agile allocation or marketing money, we're still up at the second highest spend ever, and we have not and we will not compromise on profitability and marketing. So we are way shorter than the 100 day return on marketing spend that we require. And you might ask, which is part of your question, I read, why don't you deploy more if you have a margin to the 190 day returns mark and that is exactly because as you scale, all of a sudden, it doesn't work more, then you have to decrease and so it's much more labor intense for what are strong market here than it used to be. And that is also the very reason if you have taken part of that. If you would have been in the company only or mostly depending on a few channels in a few markets, then I would be having concern. We are not concerned, we have just a delay and it took us a bit longer for the reasons that I mentioned, than we expected. But I mean, that's we're talking about a few months, nothing else.
Oscar Erixon: Perfect. And the final question from me. I mean, okay, we'll start the question on similar notes. But you guided for in December last year for Super Free Games on Sandbox Interactive pro form revenue of 1.5 billion to 2.0 billion and adjusted EBITDA of 350 million to 450 million. It's fair to assume that it will be hard to reach the top line guidance for the year, or can a strong Q4 recovery be enough? And how about the EBITDA guidance, given that I suppose spending will be increased here in Q3 and Q4? Thank you.
Jörgen Larsson: Yeah, as I just tried to answer that - a similar question, we think it's too early to say. So that means that it's possible to reach but we need to see what happens since on the profitability side, as mentioned, and also written in the report, we have a higher profitability for Super Free, but lower top line due to the reasons that were discussed, but they're also fast moving. So it's definitely possible. I mean, we are reporting Q2, we're not reporting to Q3 fully. So of course, that is possible to reach that, so we have to come back to that later in the year. But we think it's more important and more important for the understanding of seeing something where we stand to guide for all [indiscernible] at this point.
Oscar Erixon: Great. Thanks, everyone. I might be back where the larger questions. Thank you.
Operator: Thank you. The next question comes from the line of Erik Lindholm from Nordea. Please go ahead. Your line is open.
Erik Lindholm: Hi, Jörgen. Hi, Andreas. So looking into Q4 here and that into next year, can you sort of highlight which games do you expect to release here from your pipeline, and then if it's sort of reliant on your ability to deploy more UA here, and the UA trends improving perhaps?
Jörgen Larsson: Well having a 30 product on its way out, the way this works, and it has always been working out, is that we're not the kind of company that guess and hopes and cross fingers, we are data driven. So what we do is that we take our products and soft launch, we measure, we are data driven in our approach, and we put the dollars and the Euros and the specs where it returns the best. And it's pointless to say that it must be product [indiscernible] that is successful, then of course we are pleased to see that and the line started off the first 25 days or 28 days, whatever it was in this good way. That is promising. There are other products that we have higher expectations on but again, this is a numbers game. So, some of them, typically 20% will exceed our expectations. That has been the case all way, some of them will fail but all-in-all the wider portfolio we have and this is the very reason why we have this Explicit Portfolio Theory paired with our being data driven amongst the 30 new product, there are products that will be successful and will be in the organic growth just as it is. We have opportunities in existing 56 products as well. So, it's not that we expect any kind of miracles are happening in October or so. We think we are confident in the fact that with the things we have, with the capability on marketing we possess, the market reach we have, we are in a good spot to also report on 12 months comparison growth, on 24 months, we have never left that at this point. So, that is my answer to that.
Erik Lindholm: Alright. And a bit of a different topic, but what sort of impact have you seen on in-game advertising revenues in Q2 and also into Q3 perhaps? And have they improved on Android and dipped on iOS or any comment on in-game advertising would be helpful?
Jörgen Larsson: Well, ad revenues, the very reason why we took the strategic position, November 19, to have a significant portion of ad revenues were several fold and one was that just in it - it's a diversification in itself. So diversification is very important, obviously, for stability. But then also, the major reason is that that's a perfect hedge, because to simplify a bit, but you can say that, if market prices or nominal CPIs go up, it is not good for our own marketing of our products but on the other hand, then our ad inventory that drives our ad revenues is benefited from that. And that is the in-game [ph] patch that we're very pleased to have established in almost the perfect balance in 18 months only. So, in the quarter, as I said, the CPI has been steady. So per inventory, it has been fairly stable but actually increased volumes and there is also an increase of CPIs on Android because several companies have moved over more to Android than iOS due to the uncertainties with intermediaries totally, then the CPIs have been stable or even dropped on iOS. And that is reflected also in how much we get paid for per inventories, obviously. Then the other factor is how much inventory we have. We have increased the inventory. So we can - that's the reason why we are up to 19% increase in our ad revenues, even though the CPIs have not spiked in any way. [indiscernible], we have increased the inventory. I hope that answer the question.
Erik Lindholm: Yeah, that's now clear. Thank you. And I guess looking at Storm8, specifically, the trend appears to have continued to be quite weak. But, I mean, what gives you sort of confidence in the trend improving here? Is there any new releases planned for Storm8? Thank you.
Jörgen Larsson: Yes, I don't really concur whether it has been weak, it has been stable, but it has - it has stabilized. But also, it's important to note that they grew, so if you compare it to last year. Of course, there is a difference because they grew by 67% Q2 last year. So, of course, if you stick to the year-to-year they have declining, but if you look at the - they grew very - they have had some of the months this year growing on a level that was better than I expected. Some other months, they have not been growing. They're having declining. Yet again, it's depending on what kind of return on ad spend that they present, if they're not meeting our targets, they shouldn't and they couldn't spend any more UA, so they have the more - some months growing, some months not growing this year. And I talk equally [ph], not comp numbers because they are also very strange. So, we see that the two main products of Storm8 will be stable and also growing for several years to come. Having said that, to answer the second part of your question, yes, they have other products in their pipeline to be announced later on.
Erik Lindholm: Perfect. And just the final question from me. So this improvement that you're talking about in deploying UA here into August perhaps, is that included for the revenue - in the revenue guidance for Q3 or should be - I mean, do you expect equally hard UA, difficult UA environment into Q3.
Jörgen Larsson: We have just given you a guidance and that is of course what we believe, otherwise the guidance would have been different. But what happens is that when we see, also taken into consideration, obviously, in the guidance that we gave today, that we are seeing an improvement in marketing opportunities. The way it works if you isolate quarter for corporate, that is explaining why we are guiding on at around 30% margin instead of 32 or 33, or whatever. That is because we believe that we can deploy that and that provides us not with growth. If that happens in September, obviously, the revenues shown in that marketing is not net very much impacting September, but it's a very good thing Q4 and onwards.
Erik Lindholm: Perfect. Thank you.
Operator: Thank you. [Operator Instructions] We have no further questions, so I will pass back for any closing comments.
Jörgen Larsson: Thank you very much for dialing in this morning, listening, asking questions. So, I think we conclude with that. Thank you very much, everyone.
Operator: Thank you for attending. You may now disconnect your lines.